Operator: My name is Chelsy, and I will be your conference facilitator this morning. At this time, I would like to welcome everyone to Danaher Corporation's First Quarter 2025 Earnings Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to Mr. John Bedford, Vice President of Investor Relations. Mr. Bedford, you may begin your conference.
John Bedford: Good morning, everyone, and thanks for joining us on the call. With us today are Rainer Blair, our President and Chief Executive officer; and Matt McGrew, our Executive Vice President and Chief Financial Officer. I'd like to point out that our earnings release, quarterly report on Form 10-Q, the slide presentation supplementing today's call, the reconciliations and other information required by SEC Regulation G relating to any non-GAAP financial measures provided during the call, and a note containing details of historical and anticipated future financial performance are all available on the Investors section of our website www.danaher.com under the heading Quarterly Earnings. The audio portion of this call will be archived on the Investors section of our website later today under the heading Events and Presentations and will remain archived until our next quarterly call. A replay of this call will also be available until May 6, 2025. During the presentation, we will describe certain of the more significant factors that impacted year-over-year performance. Our Form 10-Q and the supplemental materials describe additional factors that impacted year-over-year performance. Unless otherwise noted, all references in these remarks and supplemental materials to company specific financial metrics relate to the first quarter of 2025 and all references to period-to-period increases or decreases in financial metrics are year-over-year. We may also describe certain products and devices, which have applications submitted and pending for certain regulatory approvals or are available only in certain markets. During the call, we will make forward-looking statements within the meaning of the federal securities laws, including statements regarding events or developments that we believe or anticipate will or may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties, including those set forth in our SEC filings, and actual results might differ materially from any forward-looking statements that we make today. These forward-looking statements speak only as of the date that they are made and we do not assume any obligation to update any forward-looking statements except as required by law. With that, I'd like to turn the call over to Rainer.
Rainer Blair: Thank you, John, and good morning, everyone, and thank you for joining us on the call today. Our first quarter revenue, earnings and cash flow all came in ahead of our expectations, highlighted by continuing strong momentum in bioprocessing and higher than anticipated respiratory demand at Cepheid. And our team executed well, leveraging the Danaher Business System to accelerate innovation, drive share gains and deliver meaningful productivity improvements. Now as you all know, the macro backdrop has become more dynamic since the start of the year, with rising geopolitical and trade tensions contributing to greater uncertainty across global markets. So before we get into our first quarter results, I'd like to share a few thoughts on how we're approaching this environment. First off, we're navigating this evolving landscape from a position of strength, supported by our talented team and with the Danaher Business System as our driving force. Now it's early and the macro environment remains dynamic, but it's in times like these that Danaher's positioning and capabilities truly stand out. Our businesses are well-positioned in attractive, typically non-discretionary end markets with strong secular growth drivers, united by a common set of more durable business models. In fact, more than 80% of our revenues are recurring, the majority of which are consumables that are specified into regulated manufacturing processes or specific to the equipment that we supply. It's not just the relative durability of our portfolio, it's how we run the business using the Danaher Business System. We're leveraging DBS to proactively manage our supply chains and drive process improvements to help ensure we continue to reliably support our customers each and every day. Now at the same time, we're taking thoughtful actions to protect our financial position, including addressing structural costs, while continuing to invest for the long-term. Now looking into Q2 and beyond, our focus remains clear, delivering for our customers, supporting our associates, and creating long-term value for our shareholders. We've operated through uncertain times before and have come out stronger than we entered. Our team is accustomed to tackling challenges head-on and turning them into opportunities, and we expect that mindset and momentum to continue as we move forward. So with that, let's take a closer look at our first quarter 2025 results. Sales were $5.7 billion in the first quarter and core revenue was flat year-over-year. Geographically, core revenues in developed markets were down slightly, with a low-single digit decline in North America and a low-single digit increase in Western Europe. High growth markets were up low-single digits, with solid performance outside of China more than offsetting a high-single digit decline within China. Declines in China were primarily driven by volume-based procurement and reimbursement changes implemented in late 2024, which impacted our diagnostics businesses, while the rest of the portfolio collectively delivered modest growth. Our gross profit margin for the first quarter of 61.2% was up 100 basis points year-over-year and our adjusted operating profit margin of 29.6% was down 50 basis points as the favorable impact of higher volume leverage in our Biotechnology segment and disciplined cost management was more than offset by productivity investments to reduce our structural costs. Adjusted diluted net earnings per common share were $1.88. We generated $1.1 billion of free cash flow in the quarter, resulting in a free cash flow to net income conversion ratio of more than 110%. As I mentioned earlier, we're continuing to make significant investments in long-term growth initiatives across Danaher. During the first quarter, the investments we've made over the past several years resulted in several impactful new product launches. And these innovations are not only reinforcing our long-term competitive advantages, they're also helping customers improve quality, yields and reduce costs while helping bring new therapies and diagnostic tests to market faster and more effectively. So let me highlight a few of these key launches. In Biotechnology, Cytiva introduced the 500 and 2,000 liter formats of the Xcellerex X-platform bioreactor at the INTERPHEX trade show earlier this month. Now the X-platform is designed to increase cell culture productivity and process intensity, helping drive higher yields while reducing the time and cost of biologic drug manufacturing. With these next-generation technologies, scientists can now seamlessly scale from 50 to 2,000 liters to meet growing demands ranging from clinical trials to commercial production. In Life Sciences, Beckman Coulter Life Sciences added spectral flow cytometry capabilities to the CytoFLEX platform with the launch of the mosaic spectral detection module. The mosaic enables researchers to switch seamlessly between conventional and spectral flow cytometry, while leveraging machine learning assisted data analysis for more precise characterization of multiple parameters simultaneously. Now these capabilities are especially valuable in the fields of oncology, where they facilitate tumor cell profiling and may also help uncover novel therapeutic targets. And in Diagnostics, like a biosystem, leverage the capabilities of our newly established center for enabling precision medicine to launch two new primary antibodies, PD-L1 and HER2, widely used in studying breast, lung and other cancers, with the goal of helping customers accelerate cancer research and therapy development. So now let's take a closer look at our results across the portfolio and give you some color on what we're seeing in our end markets today. Core revenue in our Biotechnology segment increased 7%, with Bioprocessing up high-single digits and Discovery and Medical up low-single digits. In Bioprocessing, we were very encouraged by the better than expected start to the year. Consistent positive momentum in our order book continued into the first quarter, with orders increasing sequentially for the seventh consecutive quarter. Revenue growth in the quarter was led by low double-digit growth in consumables, with particularly robust demand for commercialized therapies. On the equipment front, funnel and order trends are improving, but revenue declined as expected. Now the long-term health of the biologic market is incredibly strong with a growing number of therapies advancing through development and into commercial production. Given the significant growth opportunities ahead, we're investing to help ensure our leading bioprocessing franchise continues supporting customers as they develop and deliver lifesaving therapies to patients. In addition to the new product innovation I mentioned earlier, we've invested approximately $2 billion since 2020 to expand capacity and help ensure supply security for both us and our customers. These additions include new single use technology facilities in South Carolina, filter capacity expansions in Florida and a cell culture media expansion in Utah, all of which are now online, as well as a resins manufacturing plant in Michigan that is nearing completion. Near term, this capacity is critical for supporting existing customer demand, but it's equally important to support Cytiva's robust long-term growth outlook and illustrates our in region, for region manufacturing strategy. Now turning to our Life Sciences segment. Core revenue decreased by 4%. Core revenue in our Life Sciences instrument businesses collectively declined low-single digits. Demand across pharma, clinical and applied markets, which make up the majority of our revenues in these businesses held up well globally, while academic and government demand softened through the quarter, particularly in the United States. In China, demand remained stable sequentially and we were encouraged to see a modest benefit from stimulus programs. Core revenue in our genomics consumables businesses declined in the quarter. We saw continued positive momentum in next-generation sequencing products, but this was more than offset by weaker demand for plasmids and mRNA at two of our larger customers. Now in March, IDT announced a partnership with Elegen, a leader in next-generation DNA manufacturing to offer customers early access to Elegen's ENFINIA Plasmid DNA. This collaboration enables IDT to deliver cost effective, long and high complexity clonal genes alongside its highly differentiated portfolio of custom synthetic biology solutions. With ENFINIA DNA, Life Science and drug discovery researchers can integrate high quality DNA directly into their synthetic biology workflows with minimal or no cloning, saving weeks or even months of development time. Now moving to our Diagnostics segment. Core revenue declined 1.5%. Core revenue in our clinical diagnostics businesses was essentially flat with mid-single digit growth outside of China. Beckman Coulter Diagnostics had a solid quarter with both instruments and consumables growing mid-single digits outside of China, reflecting strong demand and continued traction in commercial execution. Now during the quarter, Beckman Coulter received a 510(k) clearance from the U.S. Food and Drug Administration for the DxC 500i integrated chemistry and immunoassay analyzer. The DxC 500i is purpose built to improve efficiency and meet the unique workflow needs for low volume laboratories such as those in community hospitals. This approval strengthens Beckman's position across the healthcare network, enabling it to offer a comprehensive portfolio of solutions for low, mid and high throughput core labs. In molecular diagnostics, Cepheid's respiratory revenue exceeded our expectations, driven by elevated levels of circulating respiratory illness paired with continued share gains. Strong growth across Cepheid's non-respiratory test menu was led by mid-teens growth in virology. In sexual health, U.S. revenue for our multiplex vaginitis panel was up 40%, as women's health clinicians are increasingly recognizing the value that rapid diagnostics at the point of care brings to patients. Cepheid's healthcare system and integrated delivery network customers continue to increase instrument placements at alternative care sites such as clinics and urgent care centers. So as healthcare decision makers work to most efficiently allocate resources, Cepheid's point of care molecular testing is proving increasingly valuable, offering greater efficiency through fewer total tests, higher rates of correct treatment and ultimately lower treatment costs compared to other testing strategies. So now let's frame how we're thinking about the second quarter and the full year 2025. We expect end market demand remains relatively consistent with the first quarter for the remainder of 2025. Regarding tariffs, based on what is currently implemented, we believe we can largely offset the impact from these tariffs through a combination of supply chain adjustments, surcharges, manufacturing footprint changes and other cost actions. Now for the full year 2025, there is essentially no change to our previous expectations. We continue to expect core revenue growth of approximately 3%, which assumes better performance in our bioprocessing business will be offset by slightly more modest expectations for life sciences. Additionally, we're initiating full year adjusted diluted EPS guidance in the range of $7.60 to $7.75. Given the current environment, we believe providing adjusted EPS guidance offers the best anchor point for assessing business performance and will provide better clarity for our investors. In the second quarter, we expect core revenue to grow in the low-single digit percent range. And additionally, we expect a second quarter adjusted operating profit margin of approximately 25.5%, reflecting normal seasonality in Cepheid's respiratory business and continued productivity investments. So to wrap it up, we're confident in our positioning in what could be choppy waters and we're leveraging the Danaher Business System to ensure we navigate this environment from a position of strength. DBS is what enables us to turn challenges into opportunities, drive meaningful productivity gains and support our customers when it matters most. At the same time, the strength of our balance sheet and financial position allows us to invest for the future, both organically and through strategic capital deployment to further enhance our portfolio and our competitive positioning. Now as we move forward, we believe the combination of our talented team, the differentiation of our portfolio and our strong financial profile will enable us to continue generating sustainable long-term value for shareholders in 2025 and beyond. So with that, I'll turn it back over to you, John.
John Bedford: Thanks, Rainer. Operator, that concludes our formal comments. We're now ready for questions.
Operator: Thank you. [Operator Instructions] And our first question will come from Michael Ryskin with Bank of America. Your line is open.
Michael Ryskin: Great. Thanks for taking the question and congrats on the strong start, guys. Rainer, first, I want to start-off on bioprocess. You just had a lot of comments there on the order strength you saw in the quarter. You're raising the full year bioprocess expectation modestly. Just wondering, is that coming more from the consumable side of things? Is it equipment? I think when we spoke on the fourth quarter call, you talked a little bit about how you want to see some of the trends continuing. So could you just talk about what you've seen over the last three months that gives you a little bit more confidence in bioprocess? And if there's any change that you've noticed from customer order behaviors in the last month or two, just given what's going on globally.
Rainer Blair: Sure, Mike. Thank you, and good morning. Look, we had a solid start here to the year and the bioprocessing business is clearly a part of that. And we're really encouraged by the continued positive momentum we saw here in Q1. So to your point around orders, we saw strong orders and revenue performance, which we now expect to be high-single digits core revenue growth for 2025. And those orders grew sequentially now for the seventh consecutive quarter, with the book-to-bill solidly over one. Now consumables continue to lead the way globally. No doubt about that. And we saw low double-digit growth in consumables, which was driven by strong commercial demand at large pharma and CDMO customers and smaller customers were stable, but still below historical levels. Now, as we think about equipment, it's not quite back to normal, but our order and funnels are a little better and I suspect the current environment is probably causing a couple of order delays there. But our commercial programs here on the equipment side and the demand related to them remains healthy. Now, we haven't seen any meaningful change in demand from the current tariff situation or reshoring efforts, but we're really well positioned for that if and when that occurs. So if you put it all together, we're really encouraged by the strong start to the year. And we reaffirm our belief that bioprocessing is a high-single digit grower, both in 2025 and for the long-term.
Michael Ryskin: Okay. Thanks. And for my follow-up, I mean, you just touched on tariffs, you spoke about it earlier. In the 10-Q, you called out several hundred million gross impact, but it sounds like you're offsetting most of it. Could you just -- between those various levers, you talked about supply chain, the pricing surcharges, the manufacturing footprint. Any sense you can give us for how you're using those levers, which ones are giving you a little bit more confidence in the ability to offset that? And I think the risk with tariffs is -- right now, we're in a little bit of a holding period. If that comes back or if additional tariffs are implemented, just give us some visibility into your confidence to offset that in this dynamic environment? Thanks.
Rainer Blair: Mike, we have a number of levers there and it's important -- but it's important to think about this in the following frame. And including that we have to avoid some false precision here, given some of the assumptions involved. But, the way we sit here today, we think our tariffs could be several $100 million of impact, something like $350 million. But actually we don't think that the current state, so where we sit today is where things ultimately end up. But regardless, we're really well-positioned to largely offset these headwinds. And here are some of the levers that we think about. For instance, we've been executing to regionalize our manufacturing network of over 100 plants for several years now, which allows us to rebalance these trade flows over time. Think China for China, I talked about the billions that we've invested here to increase our U.S. capacity. So we have a combination of both short-term and long-term countermeasures, such as surcharges, supply chain management, again, cost actions, but also relocating manufacturing. And of course, DBS is a real advantage to us here as well as we're focused on this topic. So again, as things change here over time, we've got a number of levers that we can deploy to address the tariff situation.
Matt McGrew: And if -- Mike, if things get worse here or higher or the actions that we find aren't enough, I mean, we can be much more aggressive if we need to be. We've got all those levers to pull. I would say everything is on the table here in that situation, if that's what we get to. So I think we'd be looking at more significant surcharges. I think we've been going after costs even harder and we'd probably be looking at our manufacturing footprint even harder. So everything would be on the table at that point, but we feel like if that's what we're given, that's what we're going to deal with. Then we'll make it work.
Michael Ryskin: Great. Thanks a lot, guys. Appreciate it.
Operator: Thank you. Our next question will come from Tycho Peterson with Jefferies. Your line is open.
Tycho Peterson: Hey, thanks. I want to probe a little bit on the last point on tariff offsets, pricing in particular. I think, in the first quarter, obviously, you've got the VBP headwinds on the diagnostics side, but I think Biotech and Life Science pricing was a bit below what we had expected. Can you maybe just talk on your comfort and your ability to take price, areas where you think you can push it more and maybe the mechanism to do it, is this going to be kind of rolling over the course of the year and what is your pricing assumption for the year at this point?
Matt McGrew: I mean, I think from a price perspective, yes, Tycho, like you said, you saw sort of a little bit below where we've been historically, but I'm not sure it's meaningfully below. So I think our price for the year is kind of flattish is the assumption at this point. And that's largely due to the VBP that we've got already baked in. So that kind of brings everything else from a little bit of growth in price down to flat. So, no, that would not include anything to do with surcharges or tariffs, that is sort of not included in that concept of that number. So that would be something in addition to that would be out there. But as you know, a surcharge, really sort of price with no OP associated with it. So I think from a normal perspective of how we think of price, that's kind of where I would put us.
Tycho Peterson: Okay. And then following up on bioprocess, obviously, equipment has kind of lagged in terms of the recovery. We've seen, I think, $150 billion in new CapEx announced, including Roche today in the U.S. When do you think that becomes a tailwind for you guys? You're obviously in a great position. Is that '26 do you think you start to see some benefit from some of that new build out? Do you think it's '27? What's kind of the time horizon for you guys?
Rainer Blair: Tycho, it's a little bit early to say right now, but generally speaking, where existing plants are being debottlenecked, so additional capacity being added to existing footprint, that will come a little bit quicker here. We're not yet seeing that in our orders. And then, as you think about greenfield investments, that's likely going to take a little bit longer. But as you say, we feel as though we're very well-positioned there to support those expansions right here where they're being built.
Tycho Peterson: Okay. And then just last one, crazy, I have to ask this, given all the moving pieces, anything you can say on kind of the long range outlook in '26, the Street's got you just under 7%. I think that's the big debate for tools is, in general, can this group get back to high-single digit growth? So anything from your perspective, sitting here in April that concerns you for next year?
Rainer Blair: There's nothing that we see in our end markets that makes us think differently about our long-range plans. And as we've talked about before, some of the headwinds that we've talked about for 2025, we believe to be transient. And once we comp those, we expect to be back at those higher growth rates for the long-term plan. So we believe the end markets and how we're dialed into those with our leading franchises, plus getting through some of these head -- one-time headwind leaves us well positioned here for the long-term.
Tycho Peterson: Thank you.
Rainer Blair: Thanks, Tycho.
Operator: Thank you. Our next question will come from Scott Davis with Melius Research. Your line is open.
Scott Davis: Hey. Good morning, Rainer, Matt, and John.
Rainer Blair: Good morning, Scott.
Scott Davis: Hey, guys. Can you give us a little bit more color on China? And when I think about the VBP and what it's done to your diagnostics business there, how do you guys think about the algorithm of kind of long-term growth there versus kind of the reality that maybe the pricing environment is never going to make it a very attractive business, but I suppose there's a certain level of scale where maybe it is again, but how do you guys think about China in that context?
Rainer Blair: Well, Scott, I think longer-term, we believe China will be either the second or the largest diagnostic market in the world and we believe we have a real role to play there. The pricing adjustments that you've seen really bring China closer to what global pricing is in other market and continues to be an attractive end market for us. So, as we digest both the reimbursement as well as the volume based procurement topics here in 2025, we look forward to having a strong business development here in China.
Scott Davis: Fair enough. And as for balance sheet optionality, guys, I think you bought back something like $1 billion in the quarter of stock. I think you did something like $6 billion last year. But what -- I mean, the market is re-rated lower. Presumably assets have re-rated lower in the M&A world, although, we -- it's -- we don't have a lot of data points there yet. How do you guys think about the -- that environment, I guess, just overall the balance sheet optionality and what your preferences are here in 2025?
Rainer Blair: Well, Scott, I mean, as you know, our bias is to M&A and our capital allocation, we continue to evaluate all the capital allocation alternatives. They compete against each other for our investments. No doubt that the current environment has pulled in valuations and we're going to have to measure that the degree of uncertainty in relation to those valuations. But one thing is for sure, we're going to stick with our framework, attractive end market, outstanding asset and then of course, the valuation framework has to work as well.
Matt McGrew: And Scott, we've seen this before. Back in the days, you get some shock like this, right? And there's sort of an initial freeze where everybody tries to figure out what's going to happen. And as we sort of work our way through the process of how this is all going to work itself out, that's when I think having the balance sheet that we've got from a position of strength here, we have seen historically that this is a really good time to do M&A once that -- the winds start to blow, if you will. So, I like where we're at. We've got the ability to be aggressive there when stuff does break itself free. Probably just the beginning here, but if we keep going down the path, likely a very good buying opportunity in the future.
Scott Davis: Makes sense. Best of luck, guys. I'll pass it on. Thank you.
Matt McGrew: Thanks, Scott.
Rainer Blair: Thank you.
Operator: Thank you. Our next question will come from Doug Schenkel with Wolfe Research.
Doug Schenkel: Good morning, guys, and thank you for taking the questions. I wanted to talk about two topics. One is on the genomics segment and one is on earnings guidance. So first on genomics. It seems like Aldevron remains under pressure due to really stocking at one large gene therapy and one large mRNA customer. I just want to make sure this is a continuation of trend and not really anything new in terms of a further deterioration relative to recent quarters. I don't think there's anything new there, but just want to make sure. And you kind of building off of that, when do you move past that dynamic? So that's the first topic. The second is on earnings. You gave us top line guidance. You gave us a lot of detail below the operating line. I don't think you gave us full year operating margin targets, but I think mathematically, it looks like you're maintaining that 28.5% target that you talked about coming off of the Q4 call. If that's right, I'm just wondering kind of where the offsets are built into the P&L, especially given that in Q1, you came in, I think about 300 basis points ahead of operating margin target. So I just want to see what the offsets are? And is that a function of prudent conservatism, given the environment we're in or is there something else we should be contemplating? Thank you.
Matt McGrew: Yeah. No, I think you're right, Doug. On the margin side, the part of the reason that we gave an EPS guidance, we just felt like in this environment, there was -- there are going to be moving pieces in your P&L depending on sort of how you tackle these tariffs, some surcharges, cost out, etc. So I just think we felt like an adjusted EPS guide was a place for us to anchor and make sure that as things move in the P&L as they play out during the year, there was a point of anchor, which is so why we sort of did the EPS guide for everybody. As far as what that margin translates to, you're about right with the 20.5% (ph) that you talked about. So I don't think that that's different. As far as offsets, I think if you sort of -- I think what you're kind of getting at is, look, we had a $0.25 beat here in Q1 and probably have some FX tailwinds. And we've got a little bit of cost out tailwind behind us too, and you start to add those up, you probably can get to a number that's above that range. And I think that's -- I think your math is correct there. But we do have some cushion in this environment that probably, I think Rainer and I believe that strikes the right balance given the uncertainty in the macro today. A lot of positives to start the year here. We told you guys we're going to get after that cost structure. We're making really good progress on that, got after the first quarter, gives us a head start as we head into the year. But in this current world we are in, I think it makes sense for us to frame the guide of $7.60 to $7.75. We've got some cushion there, obviously, to the degree things sort of get worse. And if they don't and we see there's probably further upside. I think you're right, if things don't get any worse from here. So let's see how things progress. Lots to do on the policy front to get us to some resolution, but that's sort of our full stop philosophy on how we're thinking about this guide.
Rainer Blair: Doug, and as it relates to Aldevron, as you suggest, there's really nothing new there. We anticipated this to occur and we see those two customers progressing as we thought and we expect that to get better here to your question in the second half of the year as we comp through it.
Doug Schenkel: Thanks, guys.
Operator: Thank you. Our next question will come from Vijay Kumar with Evercore ISI. Your line is open.
Vijay Kumar: Hi, Rainer. Good morning, and thanks for taking my question.
Rainer Blair: Good morning, (ph) Vijay.
Vijay Kumar: My first question on the tariff math here. The $350 million of that gross headwinds, is that a full year impact or a partial year impact? And maybe if you could parse out, is this majority of this coming from China? What is being assumed for ex-China? And is tariff the primary reason why second quarter margins are trending down Q-on-Q?
Matt McGrew: Let me start with the last one, 2Q trend down that has nothing to do with tariffs. So the Q2 sequential trend down has everything to do with lower respiratory volume at Cepheid. We've got an assumption of Q2 revenue for respiratory of about $250 million, down from $625 million. Very similar dynamic to what we saw last year when respiratory had that same big step down. So it's -- unfortunately, that is just part of our seasonality now, if you do get a good start to the respiratory season in Q1. Also in Q2, there is some restructuring. As we talked about, we are getting after some of the cost structure, in particular in Diagnostics, which is probably where it will show up the most. Given the VBP headwinds there and some of the things that they're doing to globally re-center, if you will, some of their go-to-market exercises, that is where we're seeing the biggest piece. So that's sort of Q2. As far as I think about the $350 million, that is a rest of year tariffs in place now number. So that is -- that's just kind of what we expect for here in '25. As far as what we might see in '26 for a full year, I wouldn't take that and multiply it by two. We're a long way away from December or January of '26 or December of '25. So I think very difficult to kind of to just double that number and assume that's what it's going to be. We're going to need to get a little bit more information before we can validate that for next year. And then, sort of where is that exposure coming from was your other question. I think the easiest -- the frame that we sort of have is, it's kind of 50% of it is coming from -- of our headwind, if you will, is coming from U.S. to China. And most of that is diagnostics, where we sell into -- from an assay perspective. The other half of that exposure is mostly U.S. from Europe. So that's -- I mean, there's some others, obviously with the 10% global, but the easiest way to think about it is half is U.S. to China, the other half is U.S. from Europe.
Vijay Kumar: That's extremely helpful, Matt. Rainer, maybe one for you on the Biopharma. There is some of the pharma customers talking about potential R&D cuts if they face some tariffs. What is Danaher's total exposure to pharma, pharma overall, including bioprocessing? And how much of that is a pure production or manufacturing, which shouldn't be impacted even if R&D goes down? Maybe some commentary on R&D versus production.
Rainer Blair: As you think about Life Science R&D for pharma, that is really represented in our -- primarily in our instruments group there, and it probably represents a third of that. So this is relatively small exposure. Keep in mind, our Life Science instruments, so the research tools exposure overall for Danaher is less than 10% of sales. And then once again, now we're talking about a third of that. Also, if you think about our performance here in Q1, we actually saw that pharma segment be fairly robust here and we haven't seen yet any additional deterioration as it relates to that particular segment. So, pharma, we see steady and investing, independent of what one pharma company does versus another. But overall, we see the segment as fairly robust here from a research perspective. And we continue to see bioprocessing. As I mentioned, we took up the guide here. We're really encouraged by what we see there.
Matt McGrew: And as far as, Vijay, it's kind of the exposure wise, I mean, maybe the easiest way to think about it is, bioprocessing is $6 billion of revenue and that's probably the one that you're most worried about given the size of how big that is versus anything else we might have in Life Sciences or elsewhere. And that's all essentially commercial, right? It's 75% of that is going to be on-market or Phase III. So I think that's kind of the frame of how I think about our pharma exposure.
Scott Davis: That's helpful. Thank you, guys.
Operator: Thank you. Our next question will come from Rachel Vatnsdal with J.P. Morgan. Your line is open.
Rachel Vatnsdal: Great. Good morning, you guys. Thanks so much for taking the question. I wanted to dig into the Life Sciences' performance. So you took down your assumptions for the Life Sciences guidance to now be flat for the year versus the prior assumption of low-single digit growth. You also called out some of the weakness in U.S. academics and government. So I was wondering if you could unpack that for us a bit. What types of products are you seeing the most weakness in in that research market? And then specifically regarding U.S. academics and government, how much was it down in the quarter? And what are you assuming for the full-year for US academic and government, especially in light of the reports last week that the new administration is going to be proposing a 40% cut to NIH?
Rainer Blair: So to start with, good morning, Rachel. And just a reminder, as I just mentioned to Vijay, we're talking Life Science tools here, which are less than 10% of our revenue. So keep that in mind as you read across. For Q1, our Life Sciences finished modestly better than anticipated. And the reasons are that the comps are beginning to ease. And to your point, outside of U.S. government and academic segment, the market conditions are stable and why is that? Because we've dialed our portfolio into what we believe are the more attractive market segments here. For the long term, pharma, clinical and applied are by far how we've positioned our business. Now again, to your point, academic and government demand did soften through the quarter, that's particularly a U.S. phenomenon. Other geographies were a little more stable there. So, as we think about the guide here in 2025, we have taken account of the fact that we expect the U.S. government and academic market to continue to soften with the noise that we're hearing. And that is basically offset by the strength that we're seeing in bioprocessing. The kinds of instruments and the kinds of products that we're talking about here are the instruments that you're familiar with in research, but also then some of the laboratory consumables and reagents that you would use in that research with some of these government – U.S. government-funded labs.
Matt McGrew: Rachel, may I just add a word on that academic. I mean, this is not a huge number for us, obviously. I think you -- for Q1, it was kind of down mid-single digit type range, just to give you some sense of it. Now orders were getting worse than that. So I think that's the read-through, if you will, to why we've taken a bit more cautious stance. But again, this is a pretty small number for us.
Rachel Vatnsdal: Yeah. Thank you.
Rainer Blair: I mean, Direct NIH is -- Yeah. Direct NIH, Rachel, is less than a percent of our revenue and government and academic globally is low-single digits.
Rachel Vatnsdal: Perfect. Yeah. Thanks for that color. Maybe just a follow-up on some of the earlier answers regarding bioprocessing. So you mentioned that book-to-bill was comfortably above one this quarter and that orders grew sequentially for the seventh quarter in a row. So, digging into that a little bit more. Last quarter you noted that bioprocessing orders grew high-single digits sequentially. So did you see orders grow high-single digits again this quarter sequentially or was order growth slightly less, given that standard seasonality that you typically see? And then on a go-forward basis, should we expect that bioprocessing orders continue to step up throughout the year or we kind of reset back to this normal order seasonality at this point? Thanks.
Matt McGrew: Yeah. Maybe I'll say a word on orders and the expectations. We've got -- we guide to revenue here. So from an order perspective, we're not going to kind of have an order guide and a revenue guide. But like we said, we think it's going to be high-single digit from a growth perspective and the orders obviously will support that. So as far as this quarter, it was sort of in that range. From a sequential perspective, I think the really good news from my chair here is that a book-to-bill that was, as we said, solidly over one is encouraging. That is a good first step here to support the rest of the year.
Operator: Great. Thank you. Our next question will come from Dan Brennan with TD Cowen. Your line is open.
Daniel Brennan: Great. Thanks. Thanks for the questions. Maybe just on the Life Science guide, I know you gave some color earlier on Aldevron, but Q2 guide down low single. I think mid-single is a little bit below us. And then the full year guide would imply a nice step-up in the back half of the year. So just can you walk through some of the visibility and drivers of the step-up in the back half of the year?
Matt McGrew: Yeah. I mean, from a number perspective, as I think about it, I mean, I think about the seasonality, both for Life Sciences, but just generally speaking for Danaher, I look at the seasonality last year and from a revenue perspective, it was kind of first half was 48% and the second half was something like 52%. So it's pretty similar here in what we're assuming on a revenue perspective in '25 at the Danaher level. So I think that's kind of the way I look at it. There's some puts and takes, I'm sure within the segments, but just in total, feel like we're kind of in the same zone that we were here last year. And it kind of has been that way historically, frankly, if we go way back, but those are different times.
Daniel Brennan: Got it. Thanks, Matt. And then maybe just on China. I know you talked about I think ex-VBP things looked pretty good. Could you just unpack it a little bit how we're thinking about the rest of the year? We get a lot of questions on just the tit for tat here with the tariffs and kind of what China is doing, maybe to take a more sharper view against kind of Western vendors. So just if you can unpack a little bit how to think about the rest of the year and then kind of any activity from the government in -- kind of reaction to the tariff wars? Thank you.
Rainer Blair: So we're seeing a fair amount of stability other than this volume based procurement and reimbursement issue for diagnostics and patient volumes. So patient volumes continue to be strong. We don't see China looking to move Western suppliers out of their supply chain. Certainly, like all customers around the world, customers are looking for supply chain security. They want to make sure they're going to be supplied. And as we think about bioprocessing, that continues to be stable as they've reached the bottom there and we're starting to see a little bit of life. And we talked about Life Sciences. Life Sciences is stable on the back of a little more stimulus than we've seen in the past, making up for some of the demand contraction that we had seen. So, generally speaking, we expect this to be stable. We're prepared with our supply chain to supply China. The majority of our supply is either China, for China or coming from non-U.S. plants. We've been working on that for years. And so, we'll continue to see what happens here on the policy front, but for now, we see China as stable and as anticipated. So we don't expect that to change that full year guide today.
Daniel Brennan: Great. Thank you.
Operator: Thank you. Our next question will come from Luke Sergott with Barclays. Your line is open.
Unidentified Participant: This is Sam (ph) on for Luke. Thanks for taking our questions. Could you talk a little bit more about VBP headwinds this quarter? Any pull forward there or did that come in line with the expectation of it being like a $50 million headwind? And is the cadence of VBP still intact from what you stated last quarter, which was kind of the $50 million, $50 million, $30 million, then $15 million to $20 million framework?
Matt McGrew: I think so, yeah. I wouldn't change off of that, come off of that. And VBP was very much in line with what we thought here in Q1. So I would not say, we have seen any change to what we thought would be our impact here from VBP.
Unidentified Participant: Got you. And then just sticking to China, could you talk about the magnitude of the China stimulus as a tailwind for you guys this quarter? And then kind of what the expectations are for the rest of the year as you see it right now?
Rainer Blair: I would call the stimulus measured. We saw that in the Life Science instruments primarily, that was with some government agencies, more specifically in food testing and we also see some of the Tier 2 universities starting to get their arms around that funding mechanism. So we also saw that as well. But I would call that measured -- a measured level of stimulus that is essentially making up for some of the demand contraction that we saw earlier.
Unidentified Participant: Thanks for that. Appreciate it.
Rainer Blair: Thanks, Luke.
Operator: Thank you. Our next question will come from Dan Arias with Stifel. Your line is open.
Daniel Arias: Hi. Good morning, guys. Thank you. Matt, the $7.60 to $7.75 EPS guide, does that assume the full $150 million of cost savings is captured this year? And then now that you're out of the gate, I think you said, should we just assume that the remainder of that gets layered fairly evenly across the next three quarters or is there a skew from a timing perspective there?
Matt McGrew: No, I think the cadence is right. It kind of -- I think it will layer in fairly evenly. Might get a little bit more here in Q3 than Q4, but I'd have to -- but I would just put it for modeling, I'd do it evenly. I mean, maybe the way to think about the $150 million that we've talked about, we've incorporated into the guide what we've achieved so far. And so, of the $150 million, we think we got about $50 million in Q1 and that is incorporated in the guide. The other sort of $100 million is what might -- I might call cushion to see like I kind of talked to when -- I think Doug asked the question earlier around what the -- walking through the math to something that might be potentially a higher number, I would put that as part of that cushion that exists for what might go bump in the rest of the year.
Daniel Arias: Okay. Is there any reason why you wouldn't capture that? I mean, it seems pretty, to hear you talk about, it seems pretty straightforward. So, is it just really well, we'll factor it in when we actually capture it or is there something that needs to develop in order to feel confident about that happening?
Matt McGrew: No. I mean, I think we'll be able to capture it. I think it was more the general view of how we sort of outlined how we're thinking about the rest of the year in the current environment and wanting to sort of see how things play-out, especially from a policy perspective before we get too constructive, but we feel like we're in a pretty good spot here if things do go out to be able to talk about higher numbers if things do improve. But we're taking a little bit of a conservative approach, given we are 20 days into a new environment.
Daniel Arias: Yeah. Sure. Okay. Thanks a bunch.
Operator: Thank you. That does conclude the Q&A portion of today's call. I would now like to turn it back over to John Bedford for any additional or closing remarks.
John Bedford: Thanks, everyone, for joining today. We'll be around the rest of the day and week for follow-up questions. Good day.
Operator: Thank you, ladies and gentlemen. This concludes today's program and we appreciate your participation. You may disconnect at any time.